Operator: Good morning. My name is Stephanie, and I will be your conference operator today. At this time, I would like to welcome everyone to the YRC Worldwide Fourth Quarter Earnings Conference Call. [Operator Instructions] Thank you. Stephanie Fisher, Vice President and Controller, you may begin your conference.
Stephanie D. Fisher: Thank you and good morning. Thank you for joining us for the YRC Worldwide fourth quarter 2012 earnings call. James Welch, Chief Executive Officer of YRC Worldwide; Jamie Pierson, our CFO; and Jeff Rogers, President of YRC Freight, will provide comments this morning. James, Jamie, and Jeff will be available for questions following our comments. Now for our disclaimers. During this call, we may make some forward-looking statements within the meaning of federal securities law. These forward-looking statements and all other statements that might be made on this call which are not historical facts are subject to uncertainty and a number of risks, and thus, actual results may differ materially. This includes statements regarding the company's expectations, assumptions of future events and intentions on strategies regarding the future. The format of this call does not allow us to fully discuss all of these risk factors. For a full discussion of risk factors that could cause the results to differ, please refer to this morning's earnings release and our most recent SEC filings, including our Forms 10-K and Form 10-Q. Additionally, please see today's release for a reconciliation of operating income and loss to adjusted EBITDA. During this call, we may refer to the non-GAAP measure of adjusted EBITDA simply as EBITDA. I'll now turn the call over to James for some introductory comments, after which time, Jamie will walk you through the fourth quarter and 2012 year-end results.
James L. Welch: Thank you, Stephanie, and welcome to our fourth quarter and year-end 2012 conference call. And we sincerely appreciate your continued interest in YRC Worldwide, and we hope that you will find the information shared on this call both informative and promising. I will make some brief comments, then Jamie Pierson will cover the specific results regarding our fourth quarter and year-end results. Jeff Rogers is also here and will make some comments about the quarter and progress results at YRC Freight. First, let me say that we are pleased to be reporting positive annual consolidated operating income for the first time in 6 years. This is an accomplishment that many of our competitors and certainly several analysts along with some in the financial world said would likely never happen. I am pleased with our overall progress in the fourth quarter and throughout 2012. In spite of a weaker-than-anticipated economy, we beat our forecast for the entire year. We accomplished this result in spite of having to dig out of a very tough first quarter, where we reported an operating loss of $49 million. Additionally, exceeding our forecast in 2012 was extremely important to me and our team as you only get one chance to make a first impression. We wanted to make our mark and establish our credibility with our shareholders, employees, lenders and, most importantly, our customers. We wanted to signal that this is a new company with a new management team with a renewed focus on North American LTL operations. Today, we have a management team that is committed to delivering consistently improving operating results as we continue to move from a marketing and brand-driven focus to a sales and operations-driven organization. As a management team, we still are a long way from being satisfied with our operating and financial results. Overall, we achieved results in the fourth quarter and full-year 2012 that included significant and meaningful improvements compared to our 2011 results. However, these results are just an indication of what we believe our team can do. And moving into 2013, we are intensely focused on continuing to improve and execute at each of our 4 operating companies. It would be wrong to go any further without recognizing our employees and thanking them for their dedication and effort. The operating turnaround, safety gains and improvements in customer service were the work of our 32,000 freight professionals. As we all know, this company has been through financially trying times over the past several years, and yet our employees have decided to rally together in a big way to send a message to all of our stakeholders, customers, competitors and even to each other that YRC Freight, Holland, Reddaway and New Penn are still very much in the freight business, competing and battling to reestablish YRC Worldwide as one of the leaders in this industry. When I came back to this company in 2011, July 2011, there were a lot of long-faced employees who lacked the confidence and the belief that we could indeed pull off the greatest turnaround in the history of the transportation industry. Sitting here today, I admire and respect our employees and appreciate the work they're doing every single day. This team is powered by professionals who are cognizant of the fact that we still must perform significantly better, as our turnaround is not yet complete. Can we perform better? Yes. Will we perform better? Yes. When this management team took over, we quickly realized that we had a safety and, consequently, a worker's compensation problem that could be a huge obstacle to any turnaround that we might hope to ever accomplish. I am pleased to say that we made tremendous improvement in both of these areas in 2012. We implemented the company's most intense and effective safety program to date and again, to our employees' credit, made radical improvements that have led us to a point where we believe our workers' compensation expense is well on the way to returning to acceptable levels. Granted, we still have more progress to be made on the resolution of some cases, but certainly we will see continued improvement if we stay on our current trajectory. A few comments about our operating companies. Our regional carriers continue to produce results that are competitive within the industry, and we like how these companies are positioned in the markets that they serve. As a group, the regional companies led the way for our company in 2012, and I appreciate the good job the management teams and employees have done. I am convinced that they will continue to set market-leading standards for the corporation moving forward. The big story for us is the improved performance at YRC Freight in the fourth quarter and all of 2012. Even though YRC Freight reported a $56 million operating loss in the first quarter of 2012, they rallied with improved operating performance and actually generated positive operating income for the second half of 2012. Our turnaround is not possible without YRC Freight contributing in a significant way. I am pleased with the major operational improvements made in the fourth quarter. We know there is still much to do to position YRC Freight where it can compete more effectively and efficiently, but we made great strides in 2012 to set the stage for 2013 and beyond. I will now turn the call over to Jamie to review what was another good year-over-year and sequentially comparative quarter. Jamie?
James G. Pierson: Thanks, James, and good morning, everyone. As James already noted, our performance continued to improve year-over-year which, when considering the conflicting economic indicators, is a testament to all of our frontline operations folks. Additionally, this is the third consecutive quarter in which we have reported positive consolidated operating income. And for the first time in 6 years, we reported consolidated positive operating income for the fiscal year ended December 31, 2012. These results are a product of pricing discipline, customer mix management and productivity improvements across all of our operating companies, especially at YRC Freight. As for the stats, for the fourth quarter 2012, regional tonnage per day was down 1.5% and YRC Freight's tonnage per day was down 5.5% year-over-year. The regional carriers' revenue per shipment grew 2.7% in fourth quarter '12 versus fourth quarter '11, which included an increase of 3.3% in revenue per hundredweight and a decrease of 0.6% in weight per shipment. While YRC Freight increased its revenue per shipment by 3.1% and its revenue per hundredweight by 3.2%, its weight per shipment decreased 0.1% on a year-over-year basis. For the full year ended December 31, 2012, regional tonnage per day was up 2.3% and YRC Freight's tonnage per day was down 2.5% year-over-year. The regional carriers revenue per shipment grew 4.2% during fiscal year 2012 versus 2011, which included an increase of 3.2% in revenue per hundredweight and increase of 1% in weight per shipment. YRC Freight increased its revenue per shipment by 2.9% in 2012 and its revenue per hundredweight by 3.1%. Weight per shipment decreased 0.2% when compared to 2011. And moving on to the earnings. YRC Worldwide reported consolidated revenue of $1.2 billion in 4Q '12, which is 3.6% lower than 4Q '11 due to a slight decline in revenue at YRC Freight due to effective customer mix management and to the disposition of our Truckload segment in December of 2011, which added $22.2 million of revenue to 2011's consolidated results. Additionally, we reported consolidated operating income of $30 million for 4Q '12, an increase of $68 million when compared to 4Q '11. Finally, we reported adjusted EBITDA for 4Q '12 of $77 million, an increase of $35.7 million over the $41.3 million reported in 4Q '11. For the year ended December 31, 2012, YRC Worldwide reported consolidated operating income of $24.1 million, an increase of $162.3 million when compared to 2011. This is the first time in 6 years that we have reported positive consolidated operating income, which is further evidence that we are improving our operations in a meaningful way. For 2012, our consolidated adjusted EBITDA was $241.2 million, an increase of $82 million over the $159.2 million reported in 2011. As for our segment results, for the fourth quarter, our regional carriers reported operating income of $8.4 million, an increase of 22% and an operating ratio of 97.9%, which represents a 30-basis-point improvement over 4Q '11. Additionally, we reported adjusted EBITDA of $26 million, which is an increase of 7% over fourth quarter of 2011. For the year ended December 31, 2012, the regional carriers reported operating income of $70 million, an increase of 113% over 4Q '11, and improved our operating ratio by 220 basis points to 95.7%. They also improved their adjusted EBITDA to $140.2 million, an increase of 36% over the comparable prior-year period. While regional carriers are continuing to operate well, we believe that there is still room for continued improvement in their profitability. YRC Freight, on the other hand, reported operating income of $21.1 million and operating ratio of 97.3% in 4Q '12, which represents an improvement of 600 basis points versus 4Q '11. Further, it reported adjusted EBITDA of $49.4 million, an increase of 315% over fourth quarter 2011. For the year ended December 31, 2012, YRC Freight's operating loss improved $51.2 million when compared to 2011 to $37.3 million. Customer mix management, pricing improvement and cost actions all contributed to this positive operating performance trend. Adjusted EBITDA for 2012 was $104.9 million, which is an increase of 140% over the same period in 2011. Turning to cash flows and liquidity. We ended the fourth quarter with balance sheet cash and ABL availability of $251 million, which is an increase of $14 million over the third quarter of 2012, the highest liquidity level reported this year and close to the highest reported over the past 4 years. Our ability to sustain liquidity at this level is due to our continued operational improvement across both of our reporting segments and continued active management of our balance sheet and working capital. Some important takeaways and honorable mentions for the year is from December 31, 2011 to December 31, 2012, funded debt-to-adjusted EBITDA decreased almost 3 full turns, from 8.5x to 5.7x. We are certainly still overlevered when compared to our peers. However, our improved operational performance is allowing us to grow into our capital structure. Over the same period, we also decreased our outstanding letters of credit by $54 million, or 11%, from $497 million to $443 million. This is a direct result of the improvements made by our employees and a concerted effort by our safety teams. As a consequence, our workers' comp and BIPD liabilities have decreased, which has allowed us to bring down the outstanding letters of credit backstopping these programs and allows us to save the cash otherwise spent on LCTs [ph]. This is a gift that not only gives on the income statement, but the balance sheet as well as we continue to de-risk our balance sheet. I know CapEx is important to everyone, as it affects our free cash flow and has received a disproportionate amount of focus over the last couple of years. The good news is we have received verbal offers to lease almost 100% of our revenue equipment purchases in 2013. While they will not show up on the balance sheet, they will be structured as -- because they will be structured as operating leases, they will be embraced with excitement by employees in the field. We view this as a tremendous accomplishment. I know you will want to ask, but please remember, we do not comment on prospective CapEx numbers in the Q&A portion of the call. And finally, as James mentioned in the opening comments, we slightly beat our forecast for the year. Having been an advisor to the company before taking this post, I can say with 100% confidence that this is the first time in over 4 years that we had done that, and, again, speaks to this team's desire to do what we say we are going to do. Again, we are pleased with our improved performance and look forward to the challenges ahead as we continue to focus on managing liquidity to 2013 and executing on our strategies during an uncertain economic environment. Now I would turn the call over to Jeff Rogers to talk about YRC Freight and the progress he and his team have made there.
Jeffery A. Rogers: Thank you, Jamie, and good morning, everyone. First and foremost, I want to take this opportunity to thank our employees for their continued dedication and for their efforts in making significant contributions to the progress YRC Freight made in 2012. 2012 was a year of progress for the organization, and we believe our 2012 financial results are evidence of these efforts. Our performance continues to improve year-over-year. And for the second consecutive quarter, YRC Freight reported positive consolidated operating income. In 2012, we focused on getting back to the fundamentals of the business. And as a result, we made excellent improvements in the areas of safety, customer service and cargo claims. Our injury frequency, as measured by hours between injury, at YRC Freight improved by approximately 20% in 2012 when compared to the prior year. We increased our on-standard service by 10 percentage points while decreasing the standard transit times in nearly half of our lanes. And during 2012, we significantly improved our cargo claims ratio due to our focus on better freight handling. When I first took the helm at YRC Freight, our team created a mantra that I really liked, "Pick it up on time, deliver it on time and don't bust it." It was an internal message that shows external results today. During the fourth quarter, we continued our emphasis on growing the right types of business for our network and length of haul and improving our mix, which, among other factors, led to a slight decline in volume year-over-year. However, our yield is showing positive trends. The business we target is more profitable, fits our core competencies and is much more efficient operationally. Our dock and housing [ph] productivities, our load average and our line haul cost per mile all improved during the fourth quarter as a result of our performance optimization efforts, led by our new Chief Operating Officer, Maynard Skarka. As you probably suspected and have heard us say before, we are pleased with the progress, but we are far from being satisfied with these results. As we move into 2013, we are poised for profitable growth. With the addition of Darren Hawkins, our new Senior VP of Sales and Marketing, I am confident he will lead our newly aligned sales team to grow the most profitable segments of our business. We are pleased to say that Darren is returning to YRC Freight, where he previously had an 18-year career and served in a number of roles, including director of field sales, service center manager and account executive. He is a well-respected industry sales leader, and he will be an integral part of our team. Welcoming him back, along with many former employees who have recently rejoined YRC Freight, shows the strength of their confidence in our current leadership team, financial stability and company strategy. As James said, "This is a team powered by professionals." While 2012 was a year of significant progress, 2013 will be the year of performance and execution. We will continue to focus on optimizing the network to improve efficiencies in the areas of terminal density, lane density and our ability to direct-load with less handling. We have a clear strategy for 2013, and the team is executing on it each and every day. With these comments, James, Jamie and I are ready to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Justin Yagerman with Deutsche Bank.
Robert H. Salmon - Deutsche Bank AG, Research Division: It's Rob on for Justin. Jim, during your prepared remarks, you had mentioned that YRC is poised for profitable growth in 2013. Should we be thinking about Freight as well as regional driving tonnage growth in '13? Or is it more just a continuation of your yield initiatives that's going to drive the top line higher?
James L. Welch: We're going to try to do both. Certainly, mix management, as everyone knows on the call, is not something that's easily accomplished in just a few months. And certainly, YRC Freight was handling a lot of business that it should not have been. And I think Jeff and his team have done a nice job there. But certainly, we have the expectation that we can grow our business, and we had to do a lot of cleanup work operationally at YRC Freight. The regionals have demonstrated that they can grow. But Jeff, do you want to add some comments on there?
Jeffery A. Rogers: Sure. I think what you said is right on. I mean, 2012 definitely was a year where we had to take a look at the mix we were handling, the business we were handling. I think the vast majority of the very aggressive mix management is behind us. I think we've got our network positioned where we can and know what type of business we want to handle. So we really are poised for growth going into 2013.
Robert H. Salmon - Deutsche Bank AG, Research Division: And could you give us a sense about how tonnage trended at Freight during Q4? And that year-over-year decline that we saw, could you give us a sense how much of that was due to your targeted customer mix changes versus a softer economy as well as the headwinds from Sandy?
Jeffery A. Rogers: It's pretty tough to kind of take those 3 and separate them. There's no question a big part of the decline in volume was due to our efforts in mix management. The economy sure didn't help us throughout the year, and we definitely saw an economic, probably, headwind starting halfway through the year then progress through the year. Sandy definitely impacted us in the northeast there in the fourth quarter, but we really didn't try to determine exactly how much that was, to be honest with you.
Robert H. Salmon - Deutsche Bank AG, Research Division: Okay. Could you give me a sense to how tonnage trended during the fourth quarter at Freight and what you're seeing thus far into January?
James L. Welch: We don't comment on those stats.
Robert H. Salmon - Deutsche Bank AG, Research Division: I guess before I turn it over to someone else, there's been a lot of talk about your -- one of your long-haul competitors who've got a Teamster contract negotiation. Have customers started reaching out to YRC about making contingent plans if there is some sort of issue with those negotiations?
James L. Welch: Yes, we really don't comment on what's happening at our competitors. And obviously, we're trying to do what's right for ourselves in the marketplace and we take advantage of any opportunities that present them -- to us. But, we don't have any comments on that.
Operator: Your next question comes from the line of David Ross with Stifel, Nicolaus.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: Can you comment a little bit more on the new hires? You brought Maynard back and Darren back. What's the impact been to date, and why did they return?
James L. Welch: Well, I think I'll let Jeff comment on some specifics. But I think we're starting to see people who had left the company because they weren't happy with the direction several years ago, but yet they have a loyalty and a heart to the company from all the years that they worked in the past. And I think they really see what we're trying to do, where we're trying to head, our strategy. They see us making progress. And it's hard if you're competitive not to want to be a part of something that we think is going to be special. And we've had a lot of interest in people coming back. We haven't taken everyone back that's expressed interest, but we certainly are taking some people that we think can help drive both operational and sales improvement. Jeff, you want to make any comments there?
Jeffery A. Rogers: Sure. Darren just came back here this year, and we're sure looking for big things from him from a sales growth and real profitable growth going forward. Maynard came back towards the second half of last year and absolutely had an impact from an operational perspective. I think it really is a testament to what we're accomplishing. We're actually delivering results. I think that's given people confidence. I think they like the direction of the company. So I'm extremely pleased with folks that are coming back.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: You don't expect to add headcount to the sales force in 2013?
Jeffery A. Rogers: We're taking a look at that. We're really trying to determine what our opportunities are for good, profitable growth, and I think that's where we'll put the resources and focus the efforts, so I think we're just evaluating that, Dave.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: And then also, Jeff, if you could update us on the technology changes that have gone on? I think you were getting ready to move forward about 10,000 handhelds this quarter.
Jeffery A. Rogers: Right. We're actually piloting those right now. So we're on track. We expect to have those deployed to the field by the end of the first half of the year, as expected, and we're looking for good things from those as well.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: Any idea on how good?
Jeffery A. Rogers: No, no, I'm not going to comment on that.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: And then, Jamie, just a question on your net working capital. It was a lot worse in 2012. It got a $160 million negative swing from '11 to '12. It was about negative $137 million. How should we look at that for 2013? What was the reason for that big swing in working capital?
James G. Pierson: In terms of -- first of all, prospective comments, we don't comment there. But if you look at the individual components -- let me get it real quick, David, and I'll see if we can give you a little bit of a breakdown. I think a lot of it had to do with the work comp and BIPD and the pension payments.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: And then just the other quick finance question would be why D&A went up about 15% year-over-year at YRC Freight if, I don't think, there was any equipment added?
James G. Pierson: Yes, actually, I don't know that one off the top of my head, David, let me get back to you on that one.
James L. Welch: Anything else?
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: Yes, I mean, as far as the lower volumes, did headcount come down at all to match up with those?
Jeffery A. Rogers: Well, obviously, it did, based on the performance. You're not going to get performance improvement if you don't reduce your heads with volumes. So absolutely.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: Because I think the 32,000 number is about the same number that we had been hearing, so I didn't know if that was actually a reduction or not.
James L. Welch: Well, we had seasonal layoffs throughout the year, throughout the quarter, and we made some really good adjustments, especially at YRC Freight. Their dock P&D did very well compared to the previous year, did a great job with load average, so I think they're definitely working more efficiently and effectively in labor management.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: Okay, yes, outside of that working capital question, I'll let somebody else have the floor.
Stephanie D. Fisher: Hey, David, before you leave, it's Stephanie. That -- in response to your question on the D&A for Freight, we actually purchased off of lease this year. All the tractors and trailers that we had on lease, we purchased those this year, and so that's the result of the increase in the D&A over 2011.
Operator: Your next question comes from the line of Scott Group with Wolfe Trahan.
Scott H. Group - Wolfe Trahan & Co.: So Jamie, I know you can't give CapEx, but can you give us a little bit more color on what you talked about in terms of the leasing side? And maybe what the equivalent CapEx number would be for that?
James G. Pierson: No, I can't give you the number in terms of what the equivalent CapEx number would be. That would be guessing as giving guidance on the acquisition of those. I'll be as consistent as a spring rain on this particular point, which is we fully acknowledge the fact that we need to start getting back what I consider into a more normal cadence of revenue equipment acquisition, and we continue to make great progress on that side. And we think that within the next couple of years that we'll get into a much more normal cycle, if you will. It doesn't start -- you just don't turn the floodgates on overnight. It's not going to happen in a single year. It's going to take us a couple of years to do that.
Scott H. Group - Wolfe Trahan & Co.: Okay. James or Jeff, when do you think we actually start to see the tonnage turn positive? And then maybe, James, at a higher level, what are the next 2 or 3 things that you are focused on to drive further margin improvement going forward?
James L. Welch: Well, we don't comment on future growth potential, although we think we're still poised to grow. Yes, really, Scott, we're just in a situation where we've got to continue to execute and execute better. As I said in my comments, we still have a long ways to go before we're remotely satisfied. Freight still has to do -- YRC Freight still has to do better. We think this year that they will do better. So really, we're just kind of settling into a mode where we have to get more consistent with our operating results and continue to improve them. We don't have any major strategy outside of really working hard on our core North American LTL operations and not letting anything else getting our way or get us distracted. So it's just more of the same, execute, execute, execute.
Scott H. Group - Wolfe Trahan & Co.: Okay. In the press release, Jamie, you talked about, I think, a combined $158 million of cash headwinds this year from interest expense, letters of credit, fees, things like that. Can you give us any color on how you're thinking about that for '13?
James G. Pierson: Yes, I wouldn't anticipate it to be any different.
Scott H. Group - Wolfe Trahan & Co.: Okay. So nothing incremental is coming on in terms of pension or interest or anything?
James G. Pierson: Again, I think it's going to be pretty steady-state at this point.
Scott H. Group - Wolfe Trahan & Co.: Okay. Great. And then just the last thing, as I look out on cash flow in 2012, about a $90 million source of cash on the investing side x CapEx from proceeds from sales and things, where are we in terms of additional things to sell and what you keep versus what the banks keep?
James G. Pierson: I think where we are from a network perspective, we will -- can always, always, always continue to look at making it more efficient. But in terms of doing another excess sell [ph] like we did in 2012, I don't anticipate anything of that magnitude.
Scott H. Group - Wolfe Trahan & Co.: And are all the -- is all the real estate that you've put up for auction, is all of that sold? And has all the cash turned on that?
James G. Pierson: The vast, vast majority, Scott, I mean, literally 90-plus percent of it.
Operator: Your next question comes from the line of Chris Ceraso from Credit Suisse.
Allison M. Landry - Crédit Suisse AG, Research Division: This is actually Allison Landry in for Chris. I just -- I know that you said you weren't expecting much in the way of incremental pension expense for 2013. But I was wondering if you could maybe speak to the potential for pension expense to go up in the future as the company's performance improves?
James G. Pierson: I think you look at it 2 different ways, Allison. One, you have the pension expense, and then you've got the pension contributions, 2 totally different things, 2 different discount rates. I think we put in the last 10-K that what we had in there for the future obligations, and with the new law enacted in 2012, I don't anticipate it being any higher than it was this year.
Allison M. Landry - Crédit Suisse AG, Research Division: Okay, that makes sense. And then just a, I guess, modeling question. What's the best way to think about the share count going forward?
James G. Pierson: Yes, right now, it's a little shot. 8 million is outstanding on a basic basis. I've always looked at it from a fully diluted perspective. If you convert the Series A and B notes, you're closer to 22 million fully loaded.
Operator: There are no further questions at this time. I'll turn the call back over to the presenters.
Stephanie D. Fisher: All right, thank you. That concludes our call for today. Thanks, everyone, for joining us. Please contact me for any follow-up questions you may have. Operator, I'll turn the call back over to you.